Operator: Good morning and welcome to the ICE Fourth Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator instructions] Please note this event is being recorded. I would now like to turn the conference over to Warren Gardiner, Vice President of Investor Relations. Please go ahead.
Warren Gardiner: Good morning. ICE’s fourth quarter 2017 earnings release and presentation can be found in the Investors section of the ice.com. These items will be archived and our call will be available for replay. Today’s call may contain forward-looking statements. These statements, which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions and uncertainties. For a description of these risks that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2017 Form 10-K which we filed this morning. In our earnings supplement, we refer to certain non-GAAP measures, including adjusted income, operating margin, expenses, EPS, EBITDA and tax rate. We believe our non-GAAP measures are more reflective of our cash operations and core business performance. You will find a reconciliation to the equivalent GAAP term in the earnings materials and an explanation of why we deem this information being meaningful as well as how management uses these measures in our Form 10-K. When used on this call, net revenue refers to revenue net of transaction-based expenses and adjusted earnings refers to adjusted diluted earnings per share. Also with us on the call are Jeff Sprecher, Chairman and CEO; Scott Hill, Chief Financial Officer; and joining us for the first time and available for Q&A will be Ben Jackson, our President. I will now turn the call over to Scott.
Scott Hill: Thanks, Warren. Good morning, everyone and thank you for joining us today. I will start on Slide 4 with some of the key highlights from our fourth quarter. ICE’s consolidated fourth quarter net revenues increased 1% to $1.1 billion. Data revenues increased 2% as reported and grew 5% on an organic constant currency basis, while trading and clearing revenues were flat versus the prior period. Adjusted operating expenses were down 3% year-over-year to $479 million and adjusted operating margins expanded to 58%. Importantly, we delivered over $70 million in synergies in 2017 and as I will discuss later, we expect to generate around half of the remaining $60 million in synergies during 2018. The combination of top line growth and margin expansions generated fourth quarter earnings of $0.73 per share, which was up 3% from last year’s fourth quarter and contributed to full year earnings growth of 6%. Our strong earnings generated nearly $2.1 billion of operating cash flow in 2017. Cash flows were down slightly from 2016, but that was primarily due to our proactive move to use $136 million to fully fund the legacy NYSE pension plan. We have now largely eliminated any future pension liability. In addition by taking the action in advance of corporate tax reform, we realized an incremental cash tax savings of nearly $20 million related to the higher federal tax rates in 2017. We leveraged our strong cash generations to return a record $1.4 billion to our shareholders, which you can you see in more detail on Slide 5. During 2017, we repurchased $949 million of our stock at an average price of just over $63 versus the 12/31 closing price of nearly $71. And even as we returned to record level of capital to our shareholders, we also achieved our leverage target ahead of schedule and continued to invest in both organic growth and strategic M&A, including the Bank of America/Merrill Lynch indices, Euroclear, NGX and BondPoint. It’s worth pausing to note here that the combinations of assets we have acquired and divested during 2016 and 2017 will increase our revenues by over $30 million and reduced our expenses by around $25 million in 2018 versus our pro forma 2015 results. With our profits continuing to grow and CapEx needs shrinking, 2018 sets up as another solid year for cash generation and capital return. We entered the year with $1.2 billion share repurchase authorization, which is 20% higher than our prior authorization. And this morning we announced our first quarter dividend of $0.24 per share, which is 20% higher than a year ago. Now let’s move to Slide 6 where I will discuss our data and listings segment. In the fourth quarter, segment revenues grew 5% year-over-year on an organic constant currency basis and our best in class operating margins expanded to 51%. Organic growth in our listings business was up 3% in the fourth quarter. Given our outstanding listings performance in 2017 as well as a very strong start in January, we expect organic growth in listings revenue excluding the impact of the sale of NYSE Governance Services to accelerate to 5% to 6% growth in 2018. In our data services business, organic constant currency growth was 5% in the quarter with balance growth across all business lines. Of note, fourth quarter results were reduced by around $4 million due to the sale of Trayport on December 14. I will provide some additional insights regarding our data services business on Slide 7. We entered the first quarter of 2018 with an organic ASV is up 6% year-over-year and new signings across our pricing and analytics business that increased 12% in 2017. Importantly, roughly 40% of our 2017 pricing and analytics sales were attributable to innovative new products such as our continuous evaluated pricing services, our reference data products and our index offerings. We expect this enhanced product lineup, strong signings and high customer retentions to generate organic growth in pricing and analytics greater than 7% in 2018. This is an acceleration from 5% growth in 2017, 3.5% growth in 2016 and the 2% to 3% growth at IDC prior to our acquisition in 2015. Our thesis when we acquired IDC was that a renewed focus on customers and product innovations would significantly accelerate revenue growth. That thesis is proving out. We are also seeing very strong growth in our connectivity and feeds business. The customers increased their capacity on our network by 20% in 2017, which contributed to revenues that grew over 7% organically for the year and we expect a double digit growth in capacity and strong revenue growth to repeat in 2018. The strong growth in pricing in analytics as well as connectivity indeed were more than offset slower growth in our exchange data and should contribute to overall organic data revenue growth consistent with the longer term outlook we provided to you at our Investor Day in June. Let’s now turn to Slide 8, where I will review our trading and clearing segment. Revenues were flat year-to-year in the fourth quarter, while segment operating margins expanded to 67%. Despite a 2% decline in average daily volume for commodities, our revenues increased by 2% year-over-year supported by a resilient RPC which benefited from favorable product mix and our commercial customer orientation. We continue to build on that growth in 2018 with January total futures and options volumes up 12% year-over-year. This growth was led by strength in interest rates which were up 28% year-over-year and ads which were up 17% year-over-year. Open interest trend also remained strong with overall OI up 12% year-over-year. Moving next to Slide 9, you can see the positive trends across our trading and clearing segment. Average daily volume in our futures and options business increased by 10% in 2017 and this was on top of 8% growth in 2016. Our 2017 growth was led by a 15% year-over-year increase in our Brent franchise, which notched its 21st consecutive year of record volumes. Our European and UK interest rate volumes increased 28% for the highest level since 2013. More importantly, open interest across the platform increased 11% in 2017 with oil OI up 8% and rates OI up 38%. Open interest is an important indicator of customer demand and future growth across our markets. And as I just noted we are benefiting from high open interest with a solid start of the year in January and the early days of February despite some temporary uncertainty created by the implementation of MiFID II. I will wrap up my remarks on Slide 10 with a preview of 2018. As I noted earlier in our data business, we entered 2018 with organic ASV up 6% year-over-year and strong momentum in our pricing and analytics and connectivity and feeds business. The ASV metrics combined with our consistently high customer retention, new products and improving sales efficiency supports our view that 2018 organic data revenue growth will accelerate to between 6% and 7%. We have provided Slide 17 in the appendix to help establish the organic revenue base for 2018. The strength of our data revenues accelerated growth in our listings business as well as growing open interest in revenue capture trends in our trading and clearing segment all bodes well for another year of solid top line growth in 2018. That revenue growth coupled with margin expansion, tax reform and capital expenditures, which we expect to be down by 10% year-over-year should make 2018 another strong year for capital return. As I mentioned this morning, we announced a 20% increase in our first quarter dividend and in January we already deployed $100 million of that $1.2 billion repurchase authorization. I will turn next to expenses. We expect expenses in the range of $2 billion to $2.5 billion for 2018. This includes $30 million of the remaining $60 million in IDC synergies. When we report our first quarter results, you will see our 2017 compensation expenses restated to reflect the change in the GAAP accounting rules related to pensions. The full year impact will increase 2017 expenses by just under $10 million and 2018 comps will be accounted for in a consistent manner. FX, as well as the small net impact from our various acquisitions and divestitures will add around $15 million in expenses in 2018, but are also expected to increase revenues by over $40 million. In addition, similar to 2017, we expect to see variable expenses which are directly associated with revenue growth increased by around $20 million. Next, we will invest $35 million to $40 million in our employees through increased merit-based compensation and cash performance bonuses in 2018. And finally, in light of the recent change in U.S. tax laws, we expect our tax rate to fall to somewhere between 22% and 25%, which should add around $150 million to $200 million to our net income and cash flow. We intend to reinvest $30 million to $35 million of those savings during 2018 to further strengthen our cyber capabilities and our technology and operations footprint. This investment will support the development and future growth of our fixed income indices, our reference data offerings, MERS, BondPoint and our Safety network. We do not anticipate a similar level of incremental investment to be required in future years and the majority of the tax savings will still drop to the bottom line. With that, I will be happy to take your questions during Q&A, but for now, I will turn it over to Jeff.
Jeff Sprecher: Thank you, Scott and good morning to everyone on the call. I will begin on Slide 11. 2017 marked another year of solid revenue growth, margin expansion, rising capital return and for the 12th consecutive year record adjusted earnings. We have achieved this growth through bull markets and bear markets through periods of elevated volatility and muted volatility as well as through regulatory change and ever evolving customer needs. We credit this track record of growth to a consistent vision, which is to uncover and dissolve for inefficiencies across markets, while enhancing the workflows of our customers. As our platform has expanded, our opportunity and ability to execute on this vision has grown with it. We benefit from an execution business that now spans all major asset classes and operates across multiple jurisdictions. It’s complemented by a subscription-based data business that is critical to our customers’ workflows, one with a proven ability to generate consistent and compounding growth through various business cycles. Combined with our efficient cost structure, we deliver a consistent high-quality cash flow that provides us with the visibility and competence to continually invest in our future growth while increasing capital return to our shareholders. As you can see on Slide 12, this unique model was supported by a foundation of some of the world’s deepest liquidity pools in its most important markets. We operate the world’s largest energy market, the largest venue for European and UK interest rate trading and we are the global leader in corporate listings. We do this by levering our 7 clearinghouses and 12 exchanges across 5 major market centers. This comprises the world’s largest and most flexible trading and risk management infrastructure, which drives a comprehensive suite of data and connectivity services. Our vast infrastructure is critical to linking participants around the world to the markets and information that they require to manage risk everyday. Moving to Slide 13, in our energy markets, we are building on our position as the premier global energy platform. Revenues in our energy business topped $900 million for the first time ever in 2017 driven by a year of record energy volumes. And our Brent oil complex recorded its 21st year of volume as commercial customers increasingly rely on our platform to help meet their global hedging needs. As you can see, 2018 is off to a strong start building on our track record of growth upon growth. Open interest in our oil markets is up 9% year-over-year, with Brent futures hitting a new record in late January as investment in North Sea oilfields continues. Similarly, in our Gasoil capital markets, average volumes are up 19% year-over-year as demand for diesel fuel rises on the back of an improving European and Asian economy. And given the Gasoil is a byproduct of a barrel of Brent crude oil, growth in our Gasoil business is generally a positive leading indicator for our Brent franchise. Notably, the extreme U.S. winter weather to start the year and the transitory market reports such as the surprise WTI inventory draw reported in January provided more speculative trading opportunities in the benchmark energy contracts of WTI and Henry Hub. While we benefited from the moves in these products, these types of trends tend to be transient in nature and not structural. Because we cater to a largely commercial customer base by offering a complete range of global energy contracts, our energy markets tend to be less cyclical in nature with an upward growth biased over the long-term. Also in January, Europe implemented MiFID II’s position limit and reporting regimes. While these created short-term challenges for many of our commodity customers, particularly in the month of December and through the first few weeks of January, these market concerns have now quieted as we found regulators to be receptive to our customers’ concerns. In fact, the UK’s FCA has processed over 1,000 hedge exemption applications, many of which were filed at the last minute to bring clarity to our customers. And as you can see, our crude oil market share has rebounded accordingly compared to the first few weeks of the year. Again, this was a transient versus structural moment. Shifting to our longstanding global natural gas strategy, we continue to make progress on many fronts. In our North American markets, we operate the leading venue for natural gas basis trading, providing liquidity and hedging for over 100 gas delivery hubs. Given the structural changes in natural gas exploration in North America, we see signs that some of the large commercial customers are shifting away from hedging with the benchmark Henry Hub contract and are moving business into these regional basis markets. And this was demonstrated by record volume and open interest in our natural gas basis markets in January. The newest addition to our strategic natural gas efforts is our acquisition of NGX in December. It brings us additional trading, clearing and physical settlement solutions, enhancing our leading North American position. And when coupled with our European and UK natural gas contracts, we now offer a full range of trading and hedging tools across international markets, a service that our commercial customers view as increasingly important as this asset class continues to globalize. Turning now to Slide 14, as we move into 2018 and look for ways to leverage our multi-asset class platform, there are many secular trends upon which we continue to capitalize. In the fixed income markets, we are creating an expanded platform that’s designed to facilitate the efficiency and information increasingly sought by market participants. The fixed income market is one of the largest investable asset classes in the world with a market structure that is early in its transition from analog to digital workflow. We have assembled a unique suite of assets to help facilitate this evolution, while addressing specific customer needs along the way. We are a leading provider of independent fixed income pricing. We have a global reference data business that spans 11 million instruments across 145 countries. We have widely used fixed income analytics critical to our customers risk and inventory management work flows. We are now the second largest fixed income index provider following our fourth quarter acquisition of the Bank of America/Merrill Lynch index suite, offering over 5,000 unique indices. And at the start of 2018 we closed on our acquisition of BondPoint, broadening our fixed income execution offering in the dealer to client segment. While we are still in the early days it’s worth noting that BondPoint is off to a strong start in January registering the best volume month in its history, up 40% year-over-year. Customers are respectively engaging with the platform now that it’s a part of the ICE fixed income ecosystem, demonstrating the complementary nature of our solutions. This suite of products and execution services are delivered over our purpose built secure connectivity safety platform that links the markets information and innovation essential to improving customer workflows. And so we positioned ourselves similar to how we have in times past to help evolve markets at inflection points, to bring efficiencies and to ingrain our services by the virtue of their capabilities into the daily workflows of our customers. Shifting to our role as the leading venue in the world for capital raising, 2017 marked the seventh consecutive year that the New York Stock Exchange led in initial public offerings, raising over $31 billion. This is almost twice the amount raised by any other exchange globally. As the world’s premier listing venue we have attracted 38 of the last 38 large IPOs defined as raising $700 million or more. And in 2017 we raised 89% of the technology sector proceeds in the United States. 2018 is off to an exceptional start with over $8 billion raised through initial public offerings, which is the best January in the NYSE’s 225 year history. I will conclude my remarks on Slide 15. 2017 was another record year. We grew revenues, margins, earnings and capital returns to new levels. We expanded our ability to provide unique mission critical content to drive markets. We enhanced our distribution by bringing markets, information and participants together and we continue to broaden the addressable market for our future strategic growth. So as we look to 2018 and beyond the foundation that we have created for sustainable organic growth has never been stronger nor has our opportunity set then is broad. Just a few weeks into the year we can already report on this strong foundation. In our derivatives business interest rate futures volumes rose 28% in January. Our North American natural gas volumes grew 16%. Our Gasoil volume rose 19%. In our data business global signings were up 12%, while ASV enters the New Year up 6%. And in our newly expanded fixed income business we benefited from BondPoint’s 30% volume growth. And this growth is all off a base record year for us in 2017. As a leading provider of vital infrastructure and information the financial and commodity markets we continue to look for ways to efficiently connect the market participants with the risk management solutions that they need. It’s a virtuous cycle, one fueled by a pursuit of efficiency and productivity. This is the platform that we positioned to generate sustainable long-term growth with benefits accruing to all stakeholders. So I would like to thank our customers for their business in 2017. And I want to thank my colleagues for their hard work and contributions to another record year, a year in which we became the first exchange operator to join the Fortune 500 and were named as one of Fortune magazine’s Future 50 companies. These credits are something that we do not seek out, but I hope that our team takes great pride in being recognized. I will now turn our call back to our moderator Kate and we will conduct the question-and-answer session until 9.30 AM Eastern Time.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Rich Repetto of Sandler O’Neill. Please go ahead.
Rich Repetto: Good morning Jeff, good morning Scott and I guess I will start broad Jeff, you had a significant win with – in MiFID II in the open access mandate being delayed. So, I am just trying to get like how important that was to you? And then related to that, when you look at MiFID II, I know you talked about the impact in energy, but MiFID II and Brexit, you have had more time to look at Brexit as well. What’s your view on it now both from a fundamental and M&A standpoint from those two items?
Jeff Sprecher: Sure. Well, I think as you know we have spent a tremendous amount of time in Europe with the most senior people in governments all over Europe discussing the pluses and minuses of the open access provision, the way it was drafted and designed in MiFID II. And there is a concern across Europe whether or not the way that that particular provision operates makes sense in the future without the UK as a part of the EU and whether it makes sense to help drive the economy together and finance the real economy without overly fragmenting markets and creating a lot of inefficiencies. So, we saw governments all across Europe coordinate a move to delay that and what you could see now and it gets reported on from time-to-time is a conversation that’s going on across the EU over whether or not that provision fits with their future and whether or not there should be some modification or reworking of broadly of MiFID, but specifically of that provision. So, we are very engaged in that conversation. We had a lot to do with the delay and we appreciate that the governments did delay and that they did engage with us and that they have taken a step back. More broadly, MiFID as I said in my prepared remarks, it was – it’s just the way markets work, but a lot of people were unprepared and notwithstanding that we all have been talking about MiFID for years now on these calls, but a lot of customers waited till the last minute. There are some very specific reporting requirements. There are some very specific position limits, accountability type requirements. And so I mentioned that the FCA in particular processed over thousand applications. You did see at the end of December and into January a lot of people just stepped out of the market trying to figure out how this would work fortunately its much calmer. The FCA at our request has held a number of meetings and calls, broad calls with the market is going to continue to do more on how MiFID gets implemented across particularly our UK exchange and we really appreciate that they have engaged on that. I have had a lot of Brexit conversations with senior people over this period in addition to talking about MiFID. I think there is a lot of positive work going on underneath the headlines of Brexit, but there still has to be a deal agreed and how that’s going to work and how that’s going to shape out, it’s very hard to know and there is certainly a possibility that things could go pear-shaped in the process. So, we have a cautious view towards Europe right now. That being said, we made an investment in Europe clear, which is a custody custodian – a custody solution for Europe. It’s one that we use. It’s one that we will continue to use and it’s one that we want to help, grow and expand. So, while we have some broad concerns about how Europe unfolds where we have seen strategic ability to pinpoint opportunity we certainly will do it.
Operator: The next question comes from Ken Worthington of JPMorgan. Please go ahead.
Ken Worthington: Hi, good morning. I want to talk about the BAML Index business, so you are providing reference data now for BAML, you have got pricing now for BAML I guess maybe you had it before is how do you see? There is analytics for BAML. What kind of cross-selling did you guys pursue in the quarter for these ancillary services? And I know it feels very early, but was there any positive impact from the ancillary services this quarter and if so or even if not maybe what is the outlook against the ancillary services provided to BAML as we look out say like a year or so? Thanks.
Jeff Sprecher: Sure. Well, first of all, it’s been great. I mean in a word it’s been incredibly well received. And I have mentioned this before Ken and I think also in response to some of your questions on earlier calls that it gets harder and harder in financial services to provide content to major firms, because of the connectivity and cyber security issues. And because there is so much pressure on firms today from a regulatory standpoint they need really good clean data and information distributed across organizations in a way that is easily consumed. So by having a broader package of things that we can deliver people that didn’t pay attention to these offerings when they weren’t a part of the ICE ecosystem are suddenly paying attention to them and so that is essentially a cross-sell. And because so many people now are hooked to our safety network and increasingly hooking to our safety network in fact is one of fastest growing parts of our company. They have a pipe already that is secure that has the cyber security promenades over it that allows us to pretty easily get behind firewalls and deliver new products and services. So it’s going well. The other – the interesting thing about this market as we have talked about before on both on this call and you and I privately is that there is kind of rapid demand for clean information and so it is not a case where a customer will buy information from one provider and not buy from a second provider. If people are taking the data and information and indices from multiple providers and some as a backup if you will for their own BCP planning and some just because there is a thirst for the best information that people can find, because of the increased use of quantitative analysis in investing. So longwinded way of saying the thesis that we had is working and Lynn Martin who is running that business is excited frankly about the responses that her team is getting particularly in that area of indices and valuation.
Operator: The next question is from Dan Fannon of Jefferies. Please go ahead.
Dan Fannon: Thanks. Good morning, Scott you mentioned your capital priorities are returning 100% of the free cash flow net of M&A, so I guess can you update us your thoughts on M&A after pretty active year of divestitures and small deals in 2017?
Scott Hill: Yes. I think we are looking at the world the same way, we have said it a while ago that our focus would be on incremental both on deals and that’s absolutely what we have executed on. I think the good news embedded in all of it is we were very active last year and are still sitting right in our leverage range with good on the balance sheet with as I mentioned earlier 20% increase in the dividend and a 20% increase of the share buyback authorization of which we already spent in one-twelfth of the year. So I think as we look out, we are continue to focus on strategic M&A that will enhance businesses that we already have, our strategies that we are pursuing, but the key as is always for us is can we find those deals at the right price that generate the right levels of return for investors.
Operator: The next question is from Michael Carrier of Bank of America. Pleased go ahead.
Sameer Murukutla: Hi, good morning, guys. This is a Sameer Murukutla on for Michael Carrier. Thanks for taking question. Just a quick one just related to the data services revenue again, I guess one is the 6% to 7% growth including any FX benefits and I guess given the divestitures and the wind down of those businesses and I guess that they are really strong ASVs and signings, I guess why isn’t this growth in ‘18 even higher than the 6% to 7%?
Jeff Sprecher: Yes. So first of all, the 6% to 7% as reported or at constant currency in each I expect will be in that range. Obviously, FX right now is a little bit of a help, but I think we will grow between 6% and 7% as reported and at constant currency on an organic basis. And compared to last year that’s coming off 5 and so when you are asking why is not growing faster, it’s growing significantly faster than it did in ‘17. And then I will note a couple of points that – I will repeat a couple of points that I said in my prepared remarks that includes our pricing analytics business that’s going to grow faster than 7% versus 5% last year and 3.5% in ‘16 and 2% when it was owned by IDC. That includes our connectivity and feeds business that’s going to grow faster than 7% again in 2018. And it’s mitigated a little bit by exchange data where it will grow, but it’s going to grow in kind of the low single-digits. So we are really happy, not only with the overall growth of that business, but the mix of revenues. And then the other thing not to lose sight of is we are growing revenues with a starting margin of 51%, which is significantly above anybody else in our space. So we are happy with the growth, we like the margin profile, the incremental margins will be the better. And again we feel good about the strength of data business across the board.
Ben Jackson: And one other point that gets to some of the core of what we do is we have been trying to be more open and transparent about the data that comes out of the cash equities market, the New York Stock Exchange in the cash equities market. We participate in the SIP which is the industry revenue generator. Behind the scenes, we have been pushing the SEP to be more transparent. We have a proposal that’s down the table for quite a while that the SIP committee is looking at and it’s going to take up shortly to become more transparent. We on our last call for the first time started to put more color around that particular business. But long story short, there is really not a lot of growth in the earnings from U.S. cash equities markets. And I think that’s maybe surprised people and is partly why we want there to be more transparency around the SIP. And that’s a part of – for reporting purposes that’s all embedded in that data business as well.
Operator: Your next question comes from Alex Blostein of Goldman Sachs. Please go ahead.
Alex Blostein: Hi guys, good morning. I want to go back to data again for a second, I am looking at Slide 7, so Scott you guys continued to kind of give us a little bit more color on the drivers in this business which is definitely appreciated, I want to hit on the capacity growth number that you highlighted it’s plus 20% year-over-year on safety network, I guess A, how should we think about this is kind of the leading indicator for data connectivity, any sort of revenue base you can kind of circle around to think about okay this is really the base that is growing and is indicative of this 22% growth or should we think of that more of a pay customers are using more capacity and we will be buying more of our data, so that’s actually a leading indicator for the other stuff?
Scott Hill: Yes. That’s a great question. And look we are a couple of years into the business. My sense is that the connectivity capacity growth is very similar to open interest. If it’s trending up – that if open interest is trending up that’s a good thing about the future prospects of our trading business. As the capacity grows that’s a good thing about our data business. And as we dig deeper into that understanding that business, one of the reasons I have that confidence is connectivity and the feeds businesses growth, so more people are taking more of their data from us. A lot of it’s our proprietary data, but it’s also feeds from other places as we become the single source, they need greater capacity in order to consume the data from us. And including those feeds, we are seeing customers sign up, historically it was more people connecting to the NYSE, now we are seeing more people connect up through safety, which again will help drive more trading, will help drive more data on our – on the commodities side of our business. So as I look at the capacity growing 20% last year it will grow double digits again in this year, people are moving up smaller ports to larger ports, for me it’s definitely a leading indicator. And one of the reasons why Jeff talked about the additional transparency with regards to exchange data. But one of the reasons why we are giving so much additional transparency on data revenue growth is because we have metrics like this capacity, that give us confidence that the growth we are seeing is sustainable.
Operator: The next question is from Ben Herbert of Citi. Please go ahead.
Ben Herbert: Good morning. Thanks for taking the question. Just another question around data and just the pricing in analytics, the 40% of signs from your growth [ph] products and then do you think back to your June Investor Day and that mix of data, revenue drivers, I know that’s more of a long-term guide, but if we think of it this year just with newer products how that mix shift, that 20% that was guided back in June that might be a bigger share in ‘18 or maybe even into ‘19 just on some of your newer product developments? Thank you.
Jeff Sprecher: Yes, great. So, thanks for the question. So, if you look at our revenue guidance in 2018 what we expect to get from new products is very much in line with what we showed you in June. And so the contribution we expected to be strong, it is strong. In addition to that, some of these new products are also driving another part of that pie we showed you that was meaningful with new customers. And so particularly in Europe, customers who have new demands put on them from MiFID, we are seeing consume those products. And so there is a little bit of a lead over between what’s the new product and what’s the new customer, but each are contributing to the overall growth. And when I talk about the 40% coming from those products, you will understand that some of those are new liquidity indicators. As an example, our BestEx product as an example that continue as evaluative prices has been around for a while, so that’s not really a new product as much as it is for a platform to develop future new products. So overall, the contribution that we showed you in June if you look at it in terms of pricing new products, new customers, high retentions, we have around 95% retention in our pricing analytics business again last year. All of those things are contributing in a very good balance by the way in growth in ‘17 and also again in the growth in ‘18.
Operator: The next question is from Alex Kramm of UBS. Please go ahead.
Alex Kramm: Hey, good morning. I want to stay on the data side and it’s probably an extension of some of the last few questions, but maybe you can be a little bit more specific around MiFID II and what you are seeing there? I guess, because you are obviously showing the upside in signings in Europe, so maybe you can give a little bit more detail of what exactly you have been seeing, but then more importantly how far along do you think the customer base is when it comes to the data side meaning like do you think throughout 2018 there is still a very big addressable market of people that still need to get ready, you still need to get BestEx products from you. And I guess around the confidence level just for more sales there? Then maybe just real quick on the flipside as well, I mean, budgets are still coming down because of MiFID II. So, I am just wondering if you are actually seeing people also struggling with budgets even canceling some of the things that are not as must have? Thank you.
Jeff Sprecher: Yes. So, that’s a great question, Alex and I will tell you I am very bullish on what we are seeing in EMEA related to MiFID II. And I think that – what I think Lynn Martin and I as we talk about it Tim Noble, who runs sales, they are very excited, but we are early days. There are some companies that have begun to prepare and have begun to understand what MiFID II’s implications are, but its early days. And so as I look at 29% growth in signings in EMEA in terms of pricing and analytics as I look at ASV for pricing and analytics, which is above the 6% ASV on average, there is no question in my mind that MiFID II in particular and we noted on Slide 7 things like BestEx and CEP and liquidity indicators, all of those products are still really in demand in terms of Europe. And I will tell you that some of that confidence in that answer is reflected in the fact that our pricing and analytics signings in January were 40% higher. And so we have seen it and I don’t have the geographic breakdown yet, but my guess is when we split it out, Europe is going to be a big driver of that growth just as it was for the year on Slide 7. The other thing that’s really encouraging is though we have designed these products, the BestEx, the liquidity indicators to meet specific requirements of MiFID II customers in the U.S. and Asia are starting to see the efficacy of using those products as well. And so I am encouraged that those products will continue to be in demand in Europe, but also we will start to contribute more and more to the growth we are seeing in the U.S. and also in Asia. And so it’s a great example where our product innovation to meet a given need with the sales team that’s focused, which ours is, it offers a great opportunity to start to sell those products and their bill for purpose used to the other customers in different geographies and different industries and so excited about Europe, I believe were early days in direct response to your question, but also excited about the prospects for some of those products outside of Europe.
Operator: The next question is from Brian Bedell of Deutsche Bank. Please go ahead.
Brian Bedell: Hi, good morning. Thanks, folks. Maybe just switching gears a little bit to the fixed income strategy, maybe question for both Scott and Jeff on this. Maybe Scott, if you could give us a little bit of a refresh of the revenue contribution from BondPoint parsing that out from NGX, the last data we had is a little old and given the increase in volumes in BondPoint coming into January, I just want to get a better sense of the revenue trajectory in the fixed income trading platform overall? And then maybe just more strategically Jeff, on as you think about that marrying with the BAML indices if you can talk about your view of how that platform will progress during this year?
Scott Hill: Yes. So I will start and no, we haven’t disclosed specifically the revenues associated with the bond business. As Jeff alluded to, we had a record month in BondPoint in January over 30% growth in terms of volumes. The way I would characterize it is it’s a relatively small part of our revenue today, but a very big growth opportunity as we move forward.
Jeff Sprecher: Yes. And what we have put together is an interesting collection of assets that is all available essentially on that safety network and the way we are thinking about it is that if an existing customer in one of those businesses want to just continue as they have in the past, that’s fine, but what we really are trying to do is go to that customer and say, we have a whole suite of services around fixed income and since we have a purchasing relationship on a connectivity relationship with you, why don’t you think about these other opportunities and we have put those together through our sales efforts in a package if you will. And we also have the benefit of the fact that NYSE Arca is the leading listings platform for ET apps and we have a very close working relationship with the ETF providers and are also following this trend of ETF growth in the fixed income space. It’s a very convenient way for people to own fixed income instruments and is one of the fastest growing parts of that space. So, we – there are lot of services that’s around NYSE that we can also provide for people that are launching and marketing those kinds of products. So, it’s been a great reception so far with the various bits and bobs that we have put together. And honestly, I think it’s even surprised us that a lot of major companies that didn’t pay attention to certain pieces that we have now that they are under the ICE name and on our connectivity platform, these customers are very engaged with us in a way that bodes well for our future.
Ben Jackson: And I will just give you one quick data point in this period, we gave you a chart last quarter that said if you look at BondPoint in Jackson, Bank of America/Merrill Lynch indices does it add about $93 million of revenue and I will tell you that split roughly half between NGX and the other half with BondPoint and Bank of America/Merrill Lynch. So, that will give you an idea of the base from which we believe we will grow.
Operator: The next question is from Chris Allen of Rosenblatt. Please go ahead.
Chris Allen: Good morning, guys. I am getting this question a lot from clients. So, I was just wondering if you guys could clarify the market data guide what’s the impact from the acquisitions in 2018, it looks about $20 million. Is that based on kind of the 2017 run-rate and does that bake in any incremental growth opportunities for those that set of businesses you acquired?
Scott Hill: So, I am going to answer your question and if my answer indicates I didn’t understand, then I ask it again, but our 6% to 7% growth in the data business is an organic number. And so it doesn’t benefit from nor does it detracted from in terms of acquisitions. So again going back to the models we showed you in June that model showed you that typically we will have around 10% plus or minus contribution from acquisitions, but in the 6% to 7% guide, that’s organic – again organic as reported organic constant currency it doesn’t matter we are going to grow 6% to 7% overall. And if you are looking for kind of the net impact of the acquisitions on data revenues, we gave you that on the last quarter that’s $18 million, but again organic 6% to 7%, no benefit from acquisitions, no work from divestitures, it’s 6% to 7% real growth that we are driving through all the reasons we have talked about on the call.
Operator: The next question is from Vincent Hung of Autonomous. Please go ahead.
Vincent Hung: Hey. I know you talked about a bit on last quarter’s call and touch upon it today, but now having had a bit of time to look around your cliff and maybe a quarter or so, I will be interested to get your thoughts on that asset in terms of like the structural opportunities or you think you could do for them specifically and then ultimately whether you would be interested in control?
Jeff Sprecher: Well, first of all, we think it’s an interesting asset and it’s one that we are a customer of and we use and so it’s important to us. And so we had a – have had a long pre-existing relationship. But we like the management very much there we like the Chairman. And we really feel like that we can do things with it together with that company to both help us and the ICE shareholders and help Euroclear. It’s similar to all that we had when we invested in Cetip in Brazil, which allowed us to launch a number of new initiatives in Brazil that on the back of that in partnership with Cetip and even though we have now sold out Cetip as it merged into BM&F. We still have those initiatives operating in Brazil and they are still very important to us. So we see that same template if you will with Euroclear. I think that we will know more. We have been invited to join the Board and Hester Serafini, who runs our U.S. clearing operations – commodity clearing operations is going to join that Board. And so we will have more insight, at least she will have more insight into how we can contribute at the governance level. But long story short I think it’s a very good company and I think we have good relationships that will allow us to find opportunities together.
Operator: The next question is from Chris Harris of Wells Fargo. Please go ahead.
Chris Harris: Hi guys, you are going to be moving some of your energy contracts to the U.S. I believe later this month, so just wondering can you guys can talk a little bit about that action whether that might create any complexity to your customers and could we see you guys do more there?
Jeff Sprecher: Sure, let me ask Ben Jackson who is here for the first time to take that one.
Ben Jackson: Thanks Chris. I am going to speak to all of you for the first time in this forum. So it’s easy for people and we got a lot of questions around this when we move to looking at and thinking of this particular fallout from MiFID. And the reality is that this move is primarily about responding to our customers, their trade, our North American energy complex. These customers are primarily based in North America, they wanted our North American products to be based in North America. As Jeff mentioned in his comments our North American energy complex is doing well. When we looked at our portfolio of North American products, some of which were executed in the U.S. maybe our gas power complex in the U.S. and others in Europe with our natural gas liquids and North American oil complex and then you add on top of it the strategic acquisition of NGX. We have even more products in North America. So we collaborate with customers and determined that bringing this complex together in North America was the right way to service their needs. We have always – it’s important now that we have always had a strategy of having multiple venues around the world to be able to have a diversified portfolio and easy way for our customers that access our various products around the world.
Operator: The next question is from Kyle Voigt of KBW. Please go ahead.
Kyle Voigt: Hi, I am just going to try one more on Euroclear, maybe one for Scott, I am just wondering if the opportunity came up we are becoming a majority owner in asset that needs a banking license to give you any pause and I believe Euroclear also has a very high credit rating, I think AA for competitive reasons, certain constraints that contain your leverage in credit ratings of the majority owned? And then lastly, maybe you could just give us an update on dividends you expect to receive from Euroclear in 2018 in the other income line? Thank you.
Scott Hill: Sure. In the 10 years, I have been here we have never been settled in the M&A. And so the concept of creed to control and all that is – that’s I guess on further talk, but I think Jeff, it was very eloquently described exactly what our intent here. And I think he is right it’s completely analogous to fatigue. We think the management team now does a good job. We think the Chairman is managing the governance structure in a good way. We know a lot of the customers. We are one of the customers. So this is about aligning our interest interest to try and go after interesting strategic opportunities together, that’s what this is about. And so I have looked at whether I want a banking license or not, we had one of those with ICE Trust. It was a little bit painful, but we managed through it. But again, we are not looking at those considerations, because that’s not what this investment is. This investment is aligning our strategic interest for somebody to whom we are a big customer right now and what we believe can be a good partner and help develop additional custodial and collateral management capabilities that will benefit both of our customer sets. To your specific question, as was reported a week or so ago and as we disclosed further in our 10-K today, we have reached agreement to acquire an additional stake that would bring us to around 9.8% in total. That portion has not yet closed. And so it’s difficult for me to tell you the size of the dividend, it could be 4 to 5. If the dividend is paid before this next set close, it could be 9 to 10, if the next round we get the regulatory approvals we need in time. And then in terms of timing, my expectation would be it would hit in first or second quarter, but we will give you more guidance as we know more on that. Again, the dividend is the nice return that we get over the short-term, but we are in this for the strategic partnership not the dividend.
Operator: The next question is a follow-up from Brian Bedell of Deutsche Bank. Please go ahead.
Brian Bedell: Great. Thanks so much. I just wanted to follow-up on your comments on the market on close offering from BAPS, your view whether that’s going to end up going through despite the protest we got in NASDAQ and maybe just sort of the portion of trading on revenue that happens at the close of the NYSE?
Jeff Sprecher: Sure. So, in terms of where that is, it’s been asked for the commission, the full commission to vote on whether or not that market structure should go forward. It’s been approved by the staff and now it will go in front of the full commission. There is no timing on that. It’s not been scheduled. So, it’s hard to know when or if that – how that will be heard, but we are opposed to the proposal, because the market what we think will happen if that goes ahead is not one competitor challenging the liquidity at the close of the listing exchanges, we think all competitors will challenge all listings and what you will see is a massive fragmentation of the close and on days like Monday, where ETFs and stocks are highly volatile having a difficult time settling to have fragmented that a central moment for benefit that really hasn’t been accounted. I mean, it’s hard to know what the cost benefit of a highly fragmented market will be to save a few pennies and essentially in a market structure. Why one would do that? So, we have asked for the full commission to think about those issues and for the industry to really discuss those issues. Listed companies when they decide where to list their shares have multiple opportunities now to there are 3 about to be 4 exchanges that will handle a listing. And part of the listing process is a discussion about the various auctions and settlement mechanisms that each exchange uses and listed companies are coming out opposed to being forced to have their closing moved to another exchange after they have made a decision and are worried about this fragmentation. So we will see where it goes. I am a bit surprised that this is even being promulgated honestly that the highest priced closing, the person that charges is the most at the closing is the one that’s actually trying to promote this idea. In my mind, I don’t know why they wanted to put that offering that they have at risk, but nonetheless the proposals out there and I think the industry will have a pretty vigorous debate and we will see where this lands, but it won’t be without a lot of negative input from market participants who as they think through the repercussions of the idea.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jeff Sprecher for closing remarks.
Jeff Sprecher: Thank you, Kate and we appreciate your time today. Thanks for joining us and we will continue to update you through the quarter and through the year as we build out on the strategy that we discussed. Thank you everybody.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.